Operator: Good day, and thank you for standing by. Welcome to the Tempur Sealy’s Second Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker’s presentation, there will be a question and answer session.  Please be advised that today's conference is being recorded. 
Aubrey Moore: Thank you, operator. Good morning, everyone, and thank you for participating in today's call. Joining me today are Scott Thompson, Chairman, President and CEO; and Bhaskar Rao, Executive Vice President and Chief Financial Officer. After prepared remarks, we will open the call for Q&A. This call includes Forward-Looking Statements that are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements involve uncertainties, and actual results may differ materially due to a variety of factors that could adversely affect the Company’s business. These factors are discussed in the Company’s SEC filings, including its annual report on Form 10-K and quarterly reports on Form 10-Q under the headings Special Note Regarding Forward-looking Statements and Risk Factors. Any forward-looking statement speaks only as of the date on which it is made. The company undertakes no obligation to update any forward-looking statements. This morning's commentary will include non-GAAP financial information. Reconciliations of this non-GAAP financial information can be found in the accompanying press release, which is posted on the Company’s investor website at investor.tempursealy.com and filed with the SEC. Our comments will supplement the detailed information provided in the press release. And now with that introduction, it is my pleasure to turn the call over to Scott.
Scott Thompson: Thank you, Aubrey. Good morning, everyone, and thank you for joining us on our 2021 second quarter earnings call. I will begin with a few highlights of our record second quarter financial performance. Bhaskar will then review our financial performance in more detail. Finally, I will conclude with some comments on the health of the industry and our current robust order trend. With this quarter's report, the team has now grown sales and adjusted EPS by double-digits for eight of the last nine quarters. Specifically for the second quarter of 2021, sales grew 76% year-over-year. More notable, sales grew very robust, a very robust 62% as compared to the second quarter of 2019, a period not impacted by the pandemic. We delivered strong performance across North America and International segments, with growth across all brands, channels and price points. Our strong sales performance was driven by successful company initiatives, record demand for Tempur-Pedic in the U.S. and a solid industry backdrop.
Bhaskar Rao: Thank you, Scott. Before going into the details, I would like to highlight a few items as compared to the prior year. Adjusted gross margin improved 370 basis points to 44.3%. Adjusted operating margin improved 770 basis points to 19.4%. Adjusted EBITDA increased 147% to $270 million and adjusted earnings per share increased 295% to $0.79.
Scott Thompson: Thank you, Bhaskar. Nice job. I want to take a few moments to discuss the health of the bedding industry and recent consumer trends. As I mentioned last quarter, we have never felt better about the bedding industry. In the past few years, there certainly has been a transformative period that created a healthier operating environment for all bedding players. This transformation has been driven by the rationalization of retail store footprints; expanding digital marketing and retail capabilities; a more customer-centric focus; antidumping actions curbing the sale of import mattresses into the U.S. market; bed-in-the-box start-ups shifting their focus towards profitability; and industry stabilization resulting from a reconciliation with the largest U.S. bedding retailer. Also, we have seen a shift in consumer discretionary spending patterns. Over the past decade, we see that consumers have been consistently underinvesting their discretionary income in home and furnishing. In the last year, consumers have invested a slightly larger portion of their discretionary income in the category. Although their spending as a percentage of their share of wallet has not returned to the pre-Great Recession levels, we expect consumer spending to continue to be strong. Before the pandemic, we already started to see strong trends towards a greater focus on health and wellness, and the trend has accelerated over the past year. Consumers are increasingly connecting a good night sleep with their overall health and are more willing to invest in a high-quality, innovative mattress, and we can help them achieve just that. This has resulted in strong demand, increased ASP and a potentially shortening of the replacement cycle across the industry. We also see an overall macro consumer environment continuing to be strong. The bedding market performance has historically been positively correlated to various macroeconomic metrics. Key economic indicators, such as consumer confidence, consumer spending, consumer savings, unemployment trends and housing metrics, all continue to be strong. This indicates to us that consumer spending on health and wellness will likely continue to be robust going forward. We expect that a health-conscious consumer, robust consumer spending and a strong bedding industry will provide an attractive backdrop for us to continue our track record of growing our market share in the $50 billion global bedding market. We expect to achieve sustained long-term growth through our commitment to driving our four key initiatives: first, develop the highest quality bedding products in all the markets that we serve; second, promote worldwide brands with compelling marketing; third, optimize our powerful Omni-channel distribution platform; and fourth, drive increased EBITDA and prudently deploy capital. We are taking the following actions to deliver on these initiatives. We will continue to leverage our century of knowledge and our industry-leading development capabilities by delivering award-winning products that provide breakthrough sleep solution to consumers around the world. We have a rich legacy of delivering innovative products that resonate with consumers. For example, more than two-thirds of our second quarter sales were from products that did not exist five-years ago. We have about 900 patents on our products and other patents pending in numerous areas. We have a robust pipeline of products currently being developed to integrate cutting-edge technologies, capabilities and construction to continuously bring an improved sleep experience to the market. These innovative products from our highly recognized brands are supported by compelling marketing, designed to drive increased brand awareness and purchase intent. We have a track record of success here. And currently, our research indicates that consumers show record level of purchase intent and consideration of our products. In fact, Sealy and Tempur were ranked as number one and number two best-selling mattress brands in the U.S. by Furniture Today in 2020. Not only was Sealy able to extend its lead in the top position, the Tempur-Pedic leapfrogged two key competitors to claim the number two spot. Furniture Today also estimated that Tempur-Pedic had the greatest growth of any of the U.S. bedding producers last year. Additionally, in 2020, for the second year in a row, Tempur-Pedic ranked number one in the U.S. Mattress Satisfaction report by J.D. Power. While we are broadly distributed with our branded product, we recognize there is one portion of the U.S. market we were not participating, the OEM market. A year ago, we began expanding our reach into the segment of the market and generated 150 million in net sales in 2020. We believe we can reach $600 million of OEM sales over the next five-years as we utilize our best-in-class manufacturing and logistics capability to sell a non-branded product. This will allow us to earn our fair share of the OEM bedding market, which makes up about 20% of total domestic bedding. This expansion has the added benefit of driving down our cost per unit of our branded product as we spread fixed cost and drive more advantageous supply agreements. We also have a plan in place to accelerate our market share gains in the $30 billion international retail bedding market. We plan to unlock organic sales growth through expanding the distribution of our branded product in the rapidly growing Asian market. We are broadening our international total addressable market via a launch of our new line of Tempur-Pedic mattresses beginning in 2022. We are repositioning the Sealy brand in the U.K. to fulfill high-end consumer unmet needs. And lastly, we expect, over time, to leverage Dreams' retail core competency to drive additional international growth. We will continue to leverage our robust cash flow and balance sheet as we prudently deploy capital. This includes making operational investments, pursuing compelling M&A opportunities and returning capital to investors through dividends and share repurchase. Turning to ESG. I think we all know success is about more than just sales and profit. I would like to take a moment and highlight a few of our recent ESG initiatives. These ongoing initiatives reflect our commitment to our community and environment. During the quarter, Tempur Sealy Foundation contributed its largest gift today in the form of a $2 million donation to support the establishment of the Tempur Sealy Pediatric Sleep Center at the Kentucky Children's Hospital located in Lexington, Kentucky, the home of our global headquarters. During the quarter, we also made progress toward our goal toward achieving carbon neutrality for our global operations. I'm happy to share that we have completed the installation of solar panels at our largest manufacturing facility in Albuquerque, New Mexico. These panels will generate enough clean energy to power all of its mattress assembly lines. Additionally, we have recently approved the installation of solar panels at our European Tempur manufacturing facility. Now before turning the call over for Q&A, I will briefly comment on current order trends. As Bhaskar indicated, demand for our brand and products remain robust. In fact, we are seeing third quarter order trends up about 20% year-over-year with Tempur North America, especially robust. This robust demand for our brand and products give us confidence in our ability to continue to deliver strong growth in the future. With that, operator, will you please open the call up for questions.
Operator:  Our first question comes from the line of Curtis Nagle from Bank of America. Your line is now open.
Curtis Nagle: Good morning guys. Thank you very much for taking my question. So a follow-up on your comments, Scott, on the quarter. Demand is awesome, right. Clearly, the model is in fantastic shape. But could you guys just provide just a little more detail in terms of the actual, I guess, expected sales growth for 3Q and 4Q, a lot of moving pieces here. Just kind of one of those instances, at least I think, where I think we could just see a little bit more handholding in terms of the model, just so we had to get, I guess, our expectations right.
Scott Thompson: Sure and good morning. I always appreciate the opportunity to hold your hand. So thank you for the question. Look, the second quarter, as you described, was either awesome or outstanding or whatever terminology you want to use. Clearly, it was over our expectations. Tempur in North America was especially strong in the second quarter. And as you know, we built inventory, and the retailers successfully depleted our inventory to a level that was suboptimal, I think, is the term we used. So when you go into the third quarter, although the orders are very robust, and that was what I was pointing out at the end of the prepared remarks, the inventory that we take into the third quarter in North America with Tempur is somewhat lower than we normally would. And that is going to create some backlog issues in Tempur at the end of the third quarter. That particular issue creates some unnatural seasonality. And I think that is what Bhaskar was pointing out in his area. So the orders up 20% worldwide so far this quarter, North America stronger and Tempur specifically. But some of what would be natural third quarter business is going to move into the fourth quarter. And then I think we have given you some guidance on the full-year. That would be the first thing I would tell you. The second thing I would point out that we pointed out in the prepared remarks, as you remember last year, Sealy was highly constrained due to the spring shortage that we were dealing with, quite frankly, worldwide, but specifically in North America. So we had unusually rich brand mix. This year, the springs are in great shape. In fact, there is a plenty of springs around the world and in North America, and there won't be any constraint on springs. And there will be still some constraint on the foam issue. But we would expect during the third quarter to work off some of the Sealy backlog that we are taking into the quarter. And we expect, hopefully, all of the issues related to the supply chain to clean up during the fourth quarter. That is a naturally lower volume quarter for us, plus we see good trends, both in chemicals and other component issues. So we think we clean it up, and we go into 2022 unconstrained. Hopefully, that helps some.
Operator: Thank you. Our next question comes from the line of Seth Basham from Wedbush Securities. Your line is now open.
Seth Basham: My question also revolves around the near-term. Just making sure that we have the right visibility and confidence that we will be able to see this backlog result in the fourth quarter. Is there any evidence that you can share with us that leads you to believe that you will be able to get through this backlog in the fourth quarter?
Scott Thompson: Sure. Sure. First, the natural seasonality is certainly a good guide for us when you are talking about that. Plus we have - I think you know, the biggest issue right now is chemicals, and that is a domestic issue. That is not a worldwide issue. It is a chemical issue here domestically. Everybody, including us, have ordered chemicals from overseas. Those chemicals are on the water. In some cases, they are in the port. And so we have got good visibility as to solving the chemical problem more than just relying on the domestic manufacturers. But that is going to take some time. And I'm sure you know from your other customers and clients, the logistics in the world aren't quite as crisp as they normally are. And we are dealing with a little bit of a logistics issue there. But you are talking about months, not quarters, to probably get some of those chemicals onshore and take some of the pressure off that particular situation.
Operator: Thank you. Our next question comes from the line of Peter Keith from Piper Sandler. Your line is now open.
Peter Keith: Hey good morning. Great results, guys. So I'm going to ask breaking rules a little bit two questions. To Chris' question, just with the Q3, Q4, I guess, my concern is we could model revenues too high in Q3. If you are having a delay with the timing of labor, seems like sales could shift out of Q3 into Q4. So any concern or quantification there? And then separately, what is the total size of the backlog for the back half of the year that you expect to work down?
Scott Thompson: Sure. Let me see if I can answer that and then maybe Bhaskar can give you some more detail. And look, this is an imprecise science, and we are doing guessing. But if I were guessing today, I would guess that at the end of - we are going to think of Tempur as having relatively no or limited backlog going into the third quarter. I think exiting the third quarter, you should think about probably a backlog of Tempur of about 100 million. It would then move into the fourth quarter. When you talk about total sales for the third quarter, we don't really give up. We are only talking in quarters. But you would expect the sales to be more in the third quarter than the second quarter. You said growth. But it is going to be muted by that Tempur backlog. The other thing I would point out that pointed out in the script that I want to be very clear, in addition to the backlog, as we have talked about in the second quarter, we have major customers on allocation. Getting a little hot as a matter of fact. And we probably at least deferred 150 million of sales in the second quarter. So when you really look at the demand, this is a big demand problem we are working through. We have customers in the third quarter are continued on allocation. And hopefully, when we get to the fourth quarter, we are expecting that we will be taking customers off with allocation and get more to a normal flow. Bhaskar, do you think you can help with the model?
Bhaskar Rao: I think another way to think about it, Peter, is think about our two-year stack that we quoted in the second quarter. We came in at in and around what we thought at about 62%, we implied 35% in excess of 35% way to do that. If you think about the rest of the year, it is going to get you something a little bit north of that 62%, so an acceleration. And think about more of that in the fourth quarter than in the third quarter. As Scott mentioned, we do think that about $100 million of backlog will flip in the fourth quarter. So hopefully, that will assist.
Scott Thompson: Yes. And Bhaskar, I'm glad you brought up that 62% because, quite frankly, of all the numbers maybe other than EPS that I was pleased with, Is when you look at the two-year stack, it is 62% increase. So there is going to be a lot of companies that have a big eye-popping growth because you got an easy compare last year because of the pandemic. But the number that is really makes me feel good about the team is the two-years back at 62%.
Operator: Thank you. Our next question comes from the line of Atul Maheswari from UBS. Your line is now open.
Atul Maheswari: So Scott, in the press release, you highlighted that 15% of your revenue growth over the last two-years, what was driven by the strong market backdrop. And I know you are expecting that the market is going to be fairly good going forward. But to the extent that it does current trends do reverse and you kind of see some pressure going forward, what avenues do you have to offset this market pressure and still meet consensus expectations of mid- to high single-digit growth for the next few years. Thank you.
Scott Thompson: I think the first thing, let me point out the reason I kind of dissected our growth. It is my perception that most people think the industry is more robust than the actual industry is. You see public company sales numbers, the public companies that you see are taking share and some of the private companies are donating share. So I don't think the industry has actually realized the growth rate that most investors think because the industry has been constrained. And I don't think we have been pulling forward sales. I think we have been pushing off sales. And so that was the main reason kind of dissected it. So the foundation of your question is it is like a booming market and what happens when it is not a booming market? So I'm going to push it back a little bit. I don't think it is been that big a booming market because we haven't been able to build the beds as an industry, okay. The second point is, okay, so it does slow down a little bit. We have got lots of drivers. When you look at our direct business, I mean, when you look at the web business alone in the second quarter, even though it had triple-digit growth last year, we had double-digit growth on top of that. So we are doing great on the web business. We have got our own stores. We have got expansion in our Tempur stores, flagship stores. We have got expansion in Sleep Outfitters. We have got new initiatives in Europe and all over International in Tempur as we go forward a larger addressable market with the Tempur product. Asia, whether - I think your question is mainly focused on the U.S., but Asia has continued to grow. So even if it slows back down to what would be normal trend, it looks like to me, we have got good growth at the top line, but we also got a lot of opportunity on the bottom line. Look, this disruption from a component standpoint has been around sloppy. Bhaskar has called that out of several quarters, and I'm going to call it $5 million to $10 million a quarter swap because of the supply chain. We have got significant free cash flow, but we have got to invest somewhere, whether that be in share buyback or whether that be in highly accretive acquisition, I'm not sure yet, but it is certainly got to be invested in somewhere because our debt leverage pay down went 1.4 times at the end of the quarter. We have got a very accretive acquisition that gets layered into next year, and we get the full benefit of pricing increases that we took this year with the full benefit next year. So it looks like it is good failing, I'm going to say, for quite a while. But again, I think the main point I want to make is the foundation of sales overall in the industry are extremely robust. I think orders and demand is very robust, but I actually think the industry sales are lower than some people perceive.
Bhaskar Rao: Right. And let me just do that math. 16% of the growth that would equate to about 5%. And if you just think about the industry over the last 20, 30 years, that is not far off round.
Scott Thompson: Yes. And I guess I forgot to mention, we have customers on allocation . And we are not accepting new customers. And so I guess all of that combined, although we haven't done our budgeting for next year yet, I think we are going into the budget season feeling good about next year.
Operator: Thank you. Our next question comes from the line of Jenna Giannelli from Goldman Sachs. Your line is now open.
Jenna Giannelli: Hi guys, thanks for taking my question. I guess the first one is really just on the backlog with some of the customers on allocation and potentially having to turn some new ones away. I guess a few things, has that put any sort of pressure on the relationships or satisfaction or is it understood that this is just a general industry headwind? And also, I guess, is there a risk that they potentially go elsewhere just to get product? And then just finally, has there been any resistance to increases in pricing? Thanks so much.
Scott Thompson: Very artfully got 12 questions in one, and I'm going to try to remember Bhaskar is writing very quickly. Yes. First of all, this is an industry issue. It is not a company-specific issue. It is an industry issue as far as constraint. So I think everybody understands that. And not only is it just a bedding industry issue, I think we all know whether you try to order a car or you try to order furniture or you try to order a boat or whether you try to order anything. Right now, the world is a little different. And so not that people are particularly wonderfully happy about having to wait, I do think that helps. And we are not seeing any issues, both in our own stores or with retailers as far as from cancellations. So as long as you can tell a customer when they are going to get their product, hold their delivery time and communicate with them, no issues from that point. Put pressure on relationships, yes, sure, I'm going to say, I have some customers that aren't happy because they think they could sell more and they probably could if we could build more faster, but it kind of comes with the territory. One thing we are doing is we are treating all channels. And so you could argue that if you just wanted to optimize our EPS for this quarter or last quarter or anything else, we would benefit our direct channel over the other channels, and we are not doing that. We are constraining our direct business in the same way that we are constraining the rest of the channel. We are treating everybody what we believe is fairly. And again, we also see an end to this, and it is a relatively short period of time. But we as a company, are disappointed that we are not able to deliver as quickly as we have in the past.
Bhaskar Rao: Any pushback on price?
Scott Thompson: No. On the price, glad you asked, look, over the last 12-months or so, the industry has pushed more pricing through the system than it ever has in the history of bedding by a large amount. The pricing has gone through crisply. Industry has accepted it and quite frankly, customers have accepted it. For us, we push pricing through, we don't put margin on it. So our sales go up, but our gross profit percentage can go down. So it can't put some pressure on the percentage, but it offsets the cost. For the retailer, quite frankly, to the extent customers accept the pricing, there is margin in there, and the retailers have had - it has been good for the retailers how the pricing moved through the system. But again, whole industry moved it based off commodities and no resistance. And I don't see any resistance of. Quite frankly, if the commodities go up again, if we have to push pricing again. But right now, it feels like we have probably done enough in it domestically. You might have to do some more internationally to see how things go.
Operator: Thank you. Our next question comes from the line of Bobby Griffin from Raymond James. Your line is now open.
Robert Griffin: I'm going switch to competition to international a little bit. And Scott or Bhaskar, can you give us maybe an update on the 2022 launch? Has any of the supply chain issues may be impacted that? And then I guess, more importantly, now that you will own Dreams by then, how does Dreams come into play for the big international launch and any potential benefits you see there that might not have been visible before you acquired Dreams?
Scott Thompson: Sure. The launch and the products in development are in great shape. It is tracking to plan. As I have mentioned before, the biggest chemical issue and constraints are really domestically, not internationally. So we are not having any significant issues internationally relative to the constraint. The pandemic is a little bit more challenging, getting people together and that kind of stuff, but we are working through that. But right now, I would tell you, the large international launch is on plan, on time, on budget, yes everything. So then you asked about how does Dreams kind of fit into that? Let's talk about Dreams for a minute. Dreams is - it is a retail, it is going to be run stand-alone. But certainly, it helps. And we will get very focused Dreams on the new product. But I think that for them to be successful. They have to decide what their merchandising plan is and they will decide that. But we are expecting big things at launching. Quite frankly, we are expecting big things from Dreams. And although nobody asked, I guess I can tell you that the U.K. bedding market in Dreams is performing very well, even though we haven't quite closed it yet. And I think that acquisition does need some skill set that we didn't have before. And I think over time, and we are talking years, I think that that will be a good foundation for growth in Internationally.
Operator: Thank you. Our next question comes from the line of Jonathan Matuszewski from Jefferies. Your line is now open.
Jonathan Matuszewski: Great thanks for taking my question and nice results. I have a question around some of your key retail distribution partners. It seems like they are revamping their own marketing campaigns recently around the importance of sleep. You see it on a national basis across advertising medium. Curious how much you think this kind of raises awareness? And how it could benefit industry sales in the back half and beyond?
Scott Thompson: Sure. And I'm not going to talk about any individual customer, but it is a great question. I'm going kind of step back because it is more than just really this quarter. I mean if you look at the quality of the industry's advertising, both in content and how they go to market, whether it be online, it has improved. I mean our major customers have really done an outstanding job in the marketing department. And I think that that is part of the underlying demand that the whole industry is playing. But I continue to be impressed by the major retailers, new ad campaigns, more professional, more customer focused. And I guess I can really just not just go through the advertising. The industry in total and especially the large customers have become so much more focused on the customer, customer experience, customer service, that I can't -- couldn't be prouder of our large customers in the way they have pivoted over the last five-years from a go-to-market standpoint.
Operator: Thank you. Our next question comes from the line of Carla Casella from JPMorgan. Your line is now open.
Carla Casella: Hi, I'm wondering - I had two questions I want to wrap in here. But I'm wondering if you think that the supply chain disruption has been - you have picked up any sales actually that from competitors, who may have had even greater supply chain disruption. And then you mentioned your order to delivery times. Can you just give us a sense of where they are in terms of the best and the worst markets today to put in the context of the expansion you are doing on the West Coast?
Scott Thompson: Sure. From a supply chain standpoint, I don't know, it is pretty hard to - I don't think we picked up any particular share relative to supply chain. Here is the challenge. Because we have been growing so much faster than everybody else, we have great relationships with our suppliers, but we have to get more components, not just what we got last year. Some of our competitors, who are not growing or not going very fast, their challenges might have been less because they are not asking more components, if that makes sense to you. But as I said, we have 62% on a two-year stack. So we are having to go out and get more components. So I'm going to say, on total, we are probably - it was neutral from a market share standpoint. As far as order to delivery, you got to do it by brand. I'm going to say, normally, Sealy order to delivery three-days faster, give or take. In a normal world, order delivery three-days if it is a Sealy product. And we are probably how many weeks out you think in Sealy? A few. Yes, three, three to four. I will call it, three to four. It is going to vary by product by plant, kind of thing, but that kind of gives you an idea. Tempur is built to inventory. So it is an inventory in DCs, all over the United States. And that is normally, you just order it and you are going to get it within a week. And probably some of our large retailers have obviously their own DC. And now Tempur's probably three, four weeks out, again, depending on product and location. We think the Sealy backlog might come down a little bit in the third quarter, but still be there. Tempur backlog should probably peak at the end of the third quarter, and we should be able to work it all off, hopefully, in the fourth quarter and unconstraint our customers.
Operator: Thank you. Our next question comes from the line of Brad Thomas from KeyBanc. Your line is now open.
Bradley Thomas: Hi thanks for taking the question. Congrats on a great quarter here. A question for Scott and Bhaskar, if I could. Scott, you mentioned the 20% growth in orders that you are seeing. I wonder if you could maybe speak to some of the data points you are getting from your own direct business just to make sure we are pulling out any extra orders that you are seeing maybe as retailers are trying to fill inventories. And then Bhaskar, I was hoping you could just talk a little bit about your latest expectations for raw material impact on EBITDA through the balance of the year and for the year on the whole.
Scott Thompson: Yes. The number I gave you is what I will call a clean number for orders. We don't let retailers order up or buy up or do things like that to try to kind of game the system. So that would be a solid worldwide order number correct. And then I would tell you, North America is stronger. And then within North America, I would say Tempur is really strong.
Bhaskar Rao: That is right. As it relates to raw material, if I just go backwards a bit, in the second quarter, we had an expectation about what we would see, let's call that $20 million to $25 million. And we did anticipate at that time that some of that would dissipate as we get into the back half. Good news, bad news. Bad news is that sitting here today is that, that did not happen. However, as part of the contemplation during the second quarter is that we did indicate, if pricing was more sustained or inflation will more be sustained, we put in a price increase. So we have done that. The price increase does go and it is our fourth round. It will go into place in the third quarter. And we haven't specifically talked about the size of raw materials. However, what I would say to that is that it is significant. And because of the strength of our brands and products, what we have been able to do is we have put in pricing that fully offsets all of the pricing, the inflation that we see and the anticipated inflation that we see for the balance of the year. And then as you think about 2022, as Scott said, is that we will get the wraparound effect. So pricing will be a help or a tailwind as we get into 2022 and beyond.
Operator: Thank you. Our next question comes from the line of Judy Merrick from Truist. Your line is now open.
Judith Merrick: Okay thank you. This is Judy in for Keith Hughes. Most of our questions have been asked, but just a follow-up on the international question on the Dreams. So that hasn't changed anything about your Tempur-Pedic rollout next year in Europe for either the pace or how you are going to do that. Is that right?
Scott Thompson: That is correct. I mean Dreams is already an outstanding customer of ours. So I don't think it really changes much for the Tempur rollout. Where there is some possibly incremental opportunities is on the Sealy side. Sealy is -- they are not a big Sealy retailer at this point. And we just recently acquired our Sealy rights back. And so we will work through that over the next year and see what the opportunity is for the Sealy brand on the Dreams floor. But from a Tempur standpoint, they are great Tempur customers already.
Operator: Thank you. Our next question comes from the line of Bob Duval from Guggenheim. Your line is now open.
Robert Drbul: Hey good morning. Just a quick question. Following on the discussion around advertising and marketing, when you think about sort of the strong demand that you are seeing in some of the supply chain challenges, how are you guys managing your own advertising investments and marketing expenses and I guess, the plans for the remainder of the year that would be helpful.
Scott Thompson: Yes. No, a very astute question. Look, we could manage the business and optimize earnings per share. And maybe that is what we should do. Maybe there are some people, who think that is what we should do. But that is not what we are doing, okay. Even though the demand is great, we are not trying to optimize EPS for a particular quarter. This is going to be the biggest year of advertising history of the company, and we have not pulled back on our advertising during this period because the advertising is brand building for the long-term, and we are setting ourselves up for next year and 2022, especially over in Europe. So it is really - but we debated internally. And you wonder like, okay, should you try to optimize? And we look at it as a long-term commitment, our retailers expect us to be in the market to continue to drive business. And so we are not really turning on and turning off advertising, trying to manage it. We are committed to the brand. And the good news is when we do our brand tracker and we look at customer intent, we continue to see building strength in our brands relative to other people in the market. So we think this long-term consistent commitment to drive advertising and marketing is the right for the long-term. So that is what we are doing. It is an interesting question that we have debated several times this year within the group, but we are in it for the long-term.
Operator: Thank you. The allocated time for questions has come to an end. I would like to turn the call back over to Scott Thompson for closing remarks.
Scott Thompson: Thank you, operator. To the over 9,000 employees around the world, thank you for what you do every day to make the company successful. To our retail partners, thank you for your outstanding representation of our brands. To our shareholders and lenders, thank you for your confidence in Tempur Sealy's leadership team and its Board of Directors. This ends the call today. Thank you, operator.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.